Unknown Executive: Good morning, ladies and gentlemen, and welcome to the presentation of Enagás for the third quarter and the first 9 months of 2013. Our results were released at this morning before the opening bell, and they're available on our website, www.enegas.en. Antonio Llardén, the Chairman of Enagás, will host the presentation, which will last around 20 minutes. After which, there'll be a Q&A session, during which we will try to answer any questions as fully as possible. Thank you very much for your attention, and I will now give the floor to Mr. Llardén. 
Antonio Llardén Carratalá: Good morning, ladies and gentlemen, and welcome to the conference call. Thank you very much for joining us. Today we are presenting our earnings for the first 9 months of 2013, which are in line with our targets set at the very beginning of the year and leave us on track to meet our guidance for 2013.
 I'm going to talk to you about the key figures. Enagás had a net profit for the first 9 months of 2013, amounting to EUR 303.6 million, a 7.9 higher -- 7.9% higher than the same period last year. In 2013, unlike last year, we have consolidated all the investments in the Altamira plant in Mexico and the LNG plant in Quintero, Chile, as well as the Yela underground storage facility, which began operations around middle of 2012. We've also completed in 2013 the acquisition of Naturgas Transporte. These were 2 important drivers of earnings in the periods and meant that the figures were fully comparable with the last year's figures.
 However as I pointed out in our previous conference call, the end of the year, the impact of changes in the consolidation scope will decrease. Meanwhile, the average cost of debt should remain -- the net profit should be around the 5.5% target for 2013. This increase in the net profit and the 75% payout ratio approved by the Board of Directors for 2013 means that the dividend should increase by at least 13% in 2013.
 Meanwhile, we've invested EUR 450 million until September and also, we've brought assets worth EUR 321 million on stream. First figures include the acquisition of 90% of Naturgas Transporte. Regarding our financial position, which remains one of our strong points, I'd like to point out the following: First, our net financial debt at the 30th of September, 2013 stood at 3.5 -- EUR 3.55 billion, off a very slight show. Net debt fell between December 2012 and September 2013 because the generated cash flow allowed us to undertake investments and to pay out the final dividends for 2012 while generating additional cash flow for the company. Second, we have a healthy debt structure with an average maturity of 6 months -- 6 years and a high percentage of debt at fixed rates 75% -- 72% with an increasing rate of international funding.
 Enagás at the end of the third quarter had 2.44 -- EUR 2.49 billion of capital available financing, allowing us to maintain high solvency ratios to continue our investment plan without jeopardizing our financial flexibility.
 As I noted in the July presentation, first all, we do not have any major financing need at present. And some of these figures confirm Enagás' sound financial position, enabling us to continue to forge ahead towards the -- to seek this target.
 Before I conclude, I would like to take a quick look at the trends in demand for natural gas. So far this year, demand for transmitted gas in the Spanish system went down 4.5%, partly due to the numerous factors, such as the increased usage of coal and other technologies, but namely the fact that 2013 was exceptionally good in terms of rainfall, which we'll probably won't see again anytime soon.
 In 2012, last year, the total power generated with hydraulic technologies were around 19,000 gigawatts per hour. However, in 2013, we expect to have our year-end figure of generated power of around 35,000 and 38,000 gigawatts per hour. And the average for the past 10 years stands around 27,000, therefore, 2012 was exceptionally low, 20,000, the average is 27,000 and hopefully we would reach 38,000 at the end of this year. However our forecast for the next 3 years is that total demand for transmitted gas will grow around roughly 4% yearly given the limited investments expected for this year. This increase in demand could help to reduce the mining gas tariff deficit.
 Let me clarify something now. I'm sure you've noticed that in previous conference calls, we've been seeing demand for gas transmitted and nondomestic demand because demand for gas transmitted refers to total demand for gas that passes through Spanish gas systems which impacts on systems revenues.
 Before wrapping up, there's been 2 exceptionally good news. A, last week, the European commission unveiled its list of priority energy projects called Projects of Common Interest, which included 2 Spanish gas connection or interconnection projects. This means that they will be both eligible for European funding and support. These 2 projects are: A, the development of a 310-kilometer long gas pipeline between Morelos and Portugal and the Midcat project, which I'm sure you're familiar with, as an extension of the Mediterranean access, which will boost gas flow with Europe through the Pyrenees both ways.
 As the commission noted, these are the key infrastructure projects that will help Europe to physically integrate its energy markets and to diversify its energy sources to objectives that bode extremely well for -- by the region and Spain individually.
 Last Thursday, the Spanish MPs [ph] approved definitely the law for the supply guarantees and increase in boosting competition of insular and extra-peninsular systems. This law will positively affect Enagás in the coming years as the company will be the holder of the regasification plans for the Canary Islands.
 In order to finalize this conference call, I'd like to share with you the main leading conclusions, which confirms the results I've just presented. We are right on track. We have a very adequate policy and cost of debt, and in -- all-in-all, we're right on track for the 7th year in a row since we launched our first strategic plan to comply with the commitments towards our shareholders for 2013.
 Thank you very much, for your attention. And I kindly invite you to ask as many questions as you might deem necessary, which we will try to reply as swiftly as possible. Thank you very much, indeed.
 [Operator Instructions] 
Operator: [Operator Instructions] [Spanish] Javier Suarez from Mediobanca will make the first question. 
Javier Suarez Hernandez: My name is Javier Suarez from Mediobanca. I have 3 questions. First and foremost, the public discussion regarding cost of the storage underground facility. I'd like to know your opinion about it. I'd like to know your opinion about the approval process for this infrastructure, the potential impact on the higher deficit in the gas sector but mainly, your expectations of the approval calendar for this infrastructure. Two, I'd like to know your latest updates regarding the need to increase access tolls for these types of infrastructures. I think you talked about the 4% of the total volume of transmitted gas. Then I'd like to know regarding the new projects, the primary projects in the Morelos and Midcat for the European Union. How this would impact your CapEx increase in the next years? And finally, the Ramones project in Mexico. It looks like it hasn't been allocated to the consortiums to which Enagás belongs. Can you please walk us through the reasons that led them to reject your participation? And what would be the international input thereof? 
Antonio Llardén Carratalá: Mr. Javier Suarez, thank you very much for your question. First and foremost, regarding Castor, as you all know, is an issue where we're not directly involved. We are neither involved in the management of these assets and therefore I am not going to issue any opinions apart from what we discussed in the media. We have no calendar whatsoever at the moment unless the department for industry finishes all the reports requested. We do not have a specific calendar regarding this plan. And then you asked about the access tariff and the reasons why we strongly believe that in the next 3 years that it will be an average increased in transporters -- or transmitted gas. Well, this is partly due to 2 reasons. Conventional gas consumption grows steadily. [Spanish] In 2013, the net growth year-on-year, will be around 1%, 1.5% and for the next 3 years that growth would be around 2% or even higher. And regarding electricity, this year had experienced a massive fall compared to 2012 and this is partly due to the extraordinary one-off rainfall season in 2013. And with these statistics, it is difficult to think that this extraordinary rainfall season will be revisited in the future in order to create electricity through water or with water. Therefore calculations led us to believe that there'll be a slight upturn for this type of electricity or power. But just enough to think that for the next 3 years, the demand increases, transported demand will be positive as opposed to 2013 or '12. Now regarding the common interest EU projects, the 2 leading EU projects, I strongly believe that they might impact our CapEx increase positively for 2014 and '15. Well we have plans so far. We won't experience any impact whatsoever but especially for 2015 onwards because specifically the Portuguese interconnection projects requires numerous studies and paperwork, and I believe the CapEx increase will take place from 2015 onwards. As long as we have the necessary information, not in the next weeks but hopefully in the next months, and we will manage to give you a more accurate answer. [Spanish] Regarding the Ramones plant, Mexico for us is a very interesting area. We have numerous activities that can provide us with a necessary critical mass, and in the Ramones project, we are in a high cooperation with Pemex, which is a company with responsibility of handling paperwork over these gas pipelines. And not only Ramones, but in other projects we have capacities to keep them working with Banamex. Again, Mexico is so far of more importance to this company not only because of the positive economic situation in Mexico but also because of the huge power and electricity consumption increase in Mexico but also because of the leading role the country will represent in the world therein. Thank you very much, indeed. 
Operator: The next question will be asked by Jose Martin-Vivas from Mirabaud Securities. 
Jose Martin-Vivas Alcaide: I have 3 questions. First in line with Javier's comments and remarks of international investments, your cost generation will probably cover up your 2014 investment needs and the payout ratio. If you do not find interesting investments, would you increase your payout ratio? Secondly regarding the regulation in Spain, can you shed some light on what is going to happen and what Red Electrica is going to about it? Do you know any dates? Can you talk about the guidance for 2014 here in Spain in terms of the functioning and the cost of debt please? 
Antonio Llardén Carratalá: [Spanish] Thank you very much, Mr. Jose Martin. Well first of all regarding the investments plan and the payout policy for 2013, '14 and '15, we have set a policy approved by the Board of Directors that is 75% payout ratio, thus maintaining it so the changes are inconceivable at the moment. Obviously in 2014, perhaps in 2015, if the figures allow us to do so and if we have to take any decisions, I think we have proven in the past that we can make positive deviations in this regard. But again, this is not the time to take any changes so far. Regarding regulation and possible changes, to be honest, we have no news, formal news in this regard. And we've only said that yes, when the whole regulation electricity or higher regulation process finishes, they will undergo a review of the gas system and the Minister talked about this a few years -- days ago, 15 days ago and in order to reduce the potential tariff deficit decrease in this problem. But the Minister stated, and I quote, "We -- these -- the figures of both sectors do not relate at all." Again, we have no calendar and neither in our industry do they have a calendar, but we fully agree with these ideas. A, this small deficit should not become a hurdle and a problem that will increase in the future as it happened with the other utilities. And B, it is reasonably easy to find solutions for this problem not to increase. In 2014, we've even expected investments in Yela in Spain, in BBG and the Canary Islands and the initial investment in Castor, but we have to wait and see, which might be slightly postponed. I think I have answered fully to your 3 questions. 
Operator: The next question would be asked by Gonzalo Sanchez from BPI. 
Gonzalo Sanchez-Bordona: My name is Gonzalo Sánchez-Bordona. Please, could you clarify regarding Castor. I understand that your investments plans until 2015, you have to include this in these, and I'd like to know that the plant won't be put to a halt if the EUR 1.3 billion are not taken into account. Are you going to invest overseas or would you generate further cash? 
Antonio Llardén Carratalá: [Spanish] My colleagues have just told me that I didn't answer 1 specific question to Jose Maria (sic) [Martin]. The potential cost of debt for 2014, I'd like answer to this question first. For 2013, we've expected a cost of debt of around 3.25% net, and for 2014, our provisional budget is around 3.5%. But to be honest, I expect 2013 -- we want to reach the 3.25%, which leads us to believe that at the end of the year, we'll probably improve our net profit for 2013. We'll be prudent. We'll see the evolution for the fourth quarter. But in 2014, we will be talking about this figure, although we have to review our forecast year-on-year. So again, for 2014, our financial cost will be 3.5%. I'd like to reply to Mr. Gonzalo. Now regarding our strategic plan and the potential delay of the Castor investment, it has a minor reduced impact on our basic net profit figures. And therefore, it won't impact our payout ratio. However if in 20 years, this investment doesn't take place, well we'll talk about 1 impact. But therefore, in the coming years, some other situations may arise, some other potential investments may arise. And therefore, we do our year-on-year review of our payout ratio linked to 3 factors: A, the profit generation capacity of the company; B, the cash needs due to the investment plans year-on-year, investment plans; C, because of the evolution of the ratio among our European peers, the Board of Directors examines on a yearly basis our strategic plans and these specific issues. And as I said before, I believe we have consequently given a positive response regarding our payout ratio and the reviews thereof. And so far, we are not going to undertake any additional measures. We have 1 measure approved for 2014 and '15. However, in the next years, we will carefully review this issue. Thank you very much, indeed. 
Operator: The next question will be asked by Javier Ruiz from Macquarie. 
José Ruiz: Yes. A, I'd like to ask Enagás as the manager of the systems if Castor isn't put into operation, what would be the impact of this over the Spanish gas system? Would you require additional investments? Can you give us some guidance on the closing debt figures for the end of the year? 
Antonio Llardén Carratalá: [Spanish] Thank you very much, Mr. Javier Ruiz. Regarding the sanctioning of the systems that are short to medium term, Castor won't have any impact whatsoever. The Spanish gas system has hopefully worked very well in the past years. And again, in the short to medium term, we won't experience any impact. Generally speaking, I'm sure that you know that the capacity -- the strategic storage capacity of our country falls way below the European average, and therefore it is always positive to have enough interconnection capacity with other countries and storage capacity. Therefore it is very interesting to have these types of facilities in the long term. However, in the short to medium term, the fact that they are under operations or not doesn't really affect the system that much. And now regarding the year-end debt closings, this is the end of October. I can make, again saying that these net debts would be around EUR 3.7 billion. Thank you very much, indeed. 
Unknown Executive: The next question will be made by Javier Fernandez Garrido by JPMorgan. 
Javier Garrido: I really have a couple of questions regarding the [indiscernible]. The first 1 regards a segment of cogenerators and what perspective we're seeing that 4% yearly growth that have given us, which are of the expectations you have for the cogeneration demand? And secondly, I'd like to know how your demand expectations for the amount of growth has evolved in the last 9 to 12 months? I mean whether that 4% of yearly growth that he has told us about, how do you think it will compared towards your expected 9, 12 months ago regarding the gas demand in Spain? 
Unknown Executive: Well. Thank you very much, Mr. Javier Garrido. First of all, the electric reform has not yet finished. Therefore it's not easy to make forecasts of gas demand for electricity generation with this volatile environment we currently have. I'm going to give you some closures I tell you because it is real but only for October. So far in October, we have seen a decrease in the cogenerations. However we have seen an increase in the combined cycle generation. We saw to it breaks the trend of the last few years. And again, this may not be generalized. But it really shows the volatility of this issue. In principle, as I was saying, for the next few years, the forecast that we are making is based on 2 parts. One, that is totally settled, is a rise in conventional demand, a small rise that's sustained throughout the years. So actually we have embarked in 2009 and 2010. We maintained in the procedural case of the electrical generation by gas and though we think and this will definitely will not reach the growth that we have before the recession is not really linked to the recession. It's obviously linked to all the renewable issues you know about. But there are 2 factors here. The main 1, the first 1 that I talked about in [ph] the presentation is the extraordinarily hydraulic count of these years, of this current year. We do always statistics according to the mobile average of the last 10 years regarding hydraulic demand. So the usual thing which we need to think, then in the next few years, we will have a hydro water generation that will be lower or much lower than the 1 that took place in 2013. Now all of this demand will be replaced by gas electricity generation. But you will see the quota that we have with these years maintained, which you'd think they're a little hard to figure that we gave you before. And on the other hand is a new fitting [ph] of the movement in Europe. It might not affect us in the next year but probably in the years after. It seems we're going to a sort of turning point regarding the rise of coal usage for electric generation. So these 2 factors combined could cause a change in the downward movement and trend that we have a highly [ph] last few years for gas usage for generating electricity. This does not mean that we will reach the figures of 2008 when we have the peak of gas usage for generating electricity. But this year may change from next year onwards. This is what the situation is like. And regarding how the trend of the 9 first months of this year and how that trend changed, which we say the conventional electricity had capped the evolution we have foreseen, but the electricity generated by gas do not give this trend due to this big hydraulic factor. Last year, we started with about 9,000 gigawatts per hour. This is due to the average which was 26,000, 27,000. And by the end of the year, it may reach between 35,000, 38,000, which explains mostly weather than any electrical reform issues as we explained the valuation in the forecast. 
Operator: [Spanish] 
Unknown Executive: There are no more questions in Spanish. We now need to... 
Operator: The first question comes from Olivier Van Doosselaere from Exane BNP Paribas. 
Olivier Van Doosselaere: This Olivier from Exane. Just 1 question left on my side, please. You have reiterated your targets of investments to make this year and also assets to be put in operation. I just had in mind that's part of that was actually including the Castor gas to put on Castor, which actually a bit now has been delayed. So I was wondering actually what are the key investments that you expect to make in the fourth quarter? And how confident are you actually that you will be reaching your targets? 
Antonio Llardén Carratalá: [Spanish] I'm being told that I should you allow you -- I should be allowed to answer in Spanish. So to sum up some of the questions you asked, this investment that we have foreseen for this year will probably be delayed for sure. First of all, as I mentioned before, there's not half or does not affect at all the company in a few years. But anyhow, throughout the year, we have had and we'll also be able to have in the fourth quarter '13 investments that we had and envisaged at the beginning. For example, the compression inflation, investments in Soto La Marina that we mentioned at the conference call in July. Mexico is hiring [ph] initially being included in our investment plan. But without going further in detail, maybe in the fourth quarter, we may have some sort of investment that we complete this. To sum up, this will not affect our few years and whenever an investment extend for more than 5 years, such as these investments that we are currently talking about, maybe in 1 year, we'll have a bit less and in another 1 a bit more. But to sum up, for 2014, 2015 plan regarding the company fundamentals, this will not 
 [Audio Gap] 
Operator: The next question comes from Martin Young from RBC. 
Martin Young: And just, the first question is just a clarification of what you were saying about your expectations around the increase in transported gas over the next few years. Is the 2% plus including or excluding power generation? And then, secondly, on your international strategy, clearly, not being selected for the Los Ramones pipeline project, and you have to be a blow to that strategy. Where will you look now to compensate internationally with further investment? 
Antonio Llardén Carratalá: [Spanish] First of all, I would like to confirm that in fact the demand forecast that I gave for the next 3 years includes the Power Generation that is the gas for electricity generation. Otherwise it's 4% of average increase of the transport demand included 2 large offers [ph] the conventional demand market that is about 70% of consumer transported gas and that 30% to round up the figures may be the gas for electricity generation, so we're already including that. Regarding Los Ramones, even though I talked about this before, we keep thinking that Mexico important focus for our international activity, as you know, it's very focused on our skills, that is what we usually do high-pressure pipelines, regasification plans and so on. And we think that there is an investment plan in this country that is pretty important that we could have a relevant role. Therefore we want to keep focusing and keep looking at different issues and may give results slowly. As you may know, we started this investment point about 3 years ago with a cashless policy. At the same time, every time we do something and we do not go ahead, there are positive results for the company to use. We will keep being cautious but being tenacious and determined. And I think this is the last question. I would like to avail of this occasion to mention that this conference call that all the team on this table feels satisfied with that is [indiscernible] strong recession that hit whole country. Again, sort of speaking in general, because in Europe [indiscernible] in the last few years we keep having a real task for this company. We will surely comply with the most important targets for this company in 2013. So we keep focusing our new policy for our shareholders and our employees. Thank you very much, everyone, for your attention. And if you have any other questions, the Investor Relations department today or any other day will be available to answer your questions, and also, our whole team and myself. Thank you very much.